Operator: Good morning, ladies and gentlemen, and welcome to the Boardwalk Real Estate Investment Trust Second Quarter 2020 Earnings Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session.  This call is being recorded on August 14, 2020. I will now turn the conference over to James Ha. Please go ahead.
James Ha: Thank you, Joanna, and welcome to the Boardwalk REIT 2020 second quarter results conference call. With me here today is Sam Kolias, Chief Executive Officer; Lisa Smandych, Chief Financial Officer; and Lisa Russell, Senior Vice President of Corporate Development. Note that this call is being broadly disseminated by way of webcast.
Sam Kolias: Thank you, James. And thank you, everyone, for joining us this morning. We'd like to open by sharing our deepest gratitude for our Boardwalk family. In this time where our world is adapting to a new way of living of increased uncertainty and change, our strong leadership team, our family, has continued to adapt, evolve, and emerge a stronger Boardwalk, resulting in continued operational and financial performance. Boardwalk's top priority remains the health and safety of both our resident members and our Boardwalk team of heroes. Our COVID-19 pandemic response has accelerated the development of innovative methods of resident member engagement and protection. From increased cleaning protocols, social distancing, and appropriate PPE, to virtual showings, an online payment security deposit platform, and the successful rollout of our resident member portal, Yuhu, we continue to find better ways to be there for our residents, while increasing operational efficiencies for our team. Our residents, in turn, have rewarded us with the highest Net Promoter scores ever, and our results reflect how we continue to be a choice housing provider, as we continue to gain in market share. Slide 4 shows us how our home may mean something different today. Our homes are now where we work, live, play, and much more. From our gym, our playground, our school, and our sanctuary, we are reminded of the importance of product quality customer service and experience. Continuing on to Slide 5, Boardwalk's portfolio of well-located, affordable homes provide an exceptional value proposition for current and future residents members. Of Boardwalk's 33,186 apartment units, 63% are based in Alberta, and 11% in Saskatchewan, with each of these provinces providing exceptional affordability, with multi-decade low rents as a percentage of incomes creating an opportunity for incentives to be reduced further. Ontario and Quebec represent 26% of Boardwalk's communities, providing exceptional affordable average rents, as well with opportunity for future revenue growth. 
Lisa Smandych: Thank you, Sam. On Slide 11, the Trust delivered strong FFO and AFFO growth, with FFO increasing by 4.1% from $34.8 million to $36.2 million for the three months ended June 30, 2020. AFFO increased by 8% from $28.8 million to $31.1 million using an annualized maintenance CapEx estimate of $613 per apartment unit. Included in our Q2 2020 FFO and AFFO per unit results is $0.04 of retirement costs. For the six months ended June 30, 2020, FFO increased 7.4%, from $63 million to $67.7 million, while AFFO increased 12.6%, from $51.1 million to $57.5 million. Again, included in our year-to-date FFO and AFFO results is $0.07 for retirement costs. Slide 12 summarizes the Trust's monthly revenue collections from its resident members for year-to-date 2020. Please note collections are reported for the calendar month only and do not include revenue collected in subsequent months. 98.3% of July revenue was collected in July, which is consistent with the Trust's historic run rate. Though varying by province, city, and site prior to 2020, the Trust's historic bad debt expense was between 1% and 1.1% of total revenue. Thus far in 2020, bad debt expense has been 1.3% of total revenue. During COVID, Boardwalk offered its resident members a deferral program for those who could demonstrate financial hardship. As at the end of July, there were approximately 100 participants in this program, with a total deferred balance of approximately $85,000.  Slide 13 provides a summary of Boardwalk's available liquidity. The Trust is well positioned with approximately $141 million in cash, subsequently funded financings, and committed up financings, as well as an undrawn $200 million operating line. The approximate $342 million in liquidity provides the Trust with a flexible financial position in the current environment, as well as providing the ability to take advantage of opportunities as they present themselves and as visibility improves. Slide 14 illustrates Boardwalk's mortgage maturity schedule. Our mortgages are well staggered, with approximately 99% of our mortgage balance carrying NHA insurance through the Canada Mortgage and Housing Corporation. This insurance remains in effect for the full amortization of the mortgage, and in addition to carrying the Government of Canada's backing, provides access to low-cost financing, with current estimated five-year and 10-year CMHC rates of 1.2% and 1.6%, respectively. The Trust's debt metrics continue to be strong, with an interest coverage of 2.77 in the current quarter. 
Lisa Russell: Thank you, Lisa. Moving on to Slide 16. The Trust will continue its strategy to enhance future growth with a focus on, one, increasing revenue through measured value-added improvements across the portfolio; two, acquire accretive assets, creating value through cash flow growth and capital appreciation; three, continue to cull the portfolio, disposing of non-core assets, providing the REIT with immediate capital to redeploy; four, continue to develop new communities, hydrating our portfolio in new markets. Each of these leavers allow the Trust to progress towards hydrating and geographically extending the portfolio. Slides 17 and 18 highlight some of our recent value-add projects, as well as illustrates the significant opportunity remaining across our portfolio. Our recent projects include an office renovation, which we redesigned into a co-working space at O'Neil Towers in Calgary. This space has subsequently been fully leased to a single tenant. Common area and lobby renovations at Maureen Manor, and suite renovations at Boardwalk Centre, are examples of how we are transforming our communities across Canada. We continue to use an eyedropper approach to focus on best returns, suite renovations that are focused on affordability, and rebranding and hydrating, based on market demand. Slide 19 summarizes our recent disposition of Elbow Tower and the acquisition of Cambridge Court, which aligns with our strategy of hydrating and geographically diversifying our portfolio. Elbow Tower is a 158-unit, 12-story, concrete high-rise located in Calgary. The property was situated on a land lease that was reset in 2016. The reset, which significantly increased the land lease expense, combined with the short to medium term capital expenditures, provided a strategic opportunity for the Trust to divest that asset to the lease holder. This transaction closed on June 25, 2020. In an off-market transaction, the Trust redeployed this capital toward a 56-unit townhouse community that was recently constructed in 2014. The large townhomes offer space, style, and luxury in a low vacancy, high-end community within the growing Kitchener-Waterloo Cambridge region. Going in cap  rate is approximately 4%, with a large spread in mark-to-market rents. This asset nicely blends into our existing Kitchener portfolio and allows us to maximize operating efficiencies. This transaction is scheduled to close on August 27, 2020.
James Ha: Thank you, Lisa. We are so proud of the results our team has delivered in the first half of 2020. The resiliency of our rent collections is a reflection of our essential housing product and the overall stability of our multifamily asset class. Despite self and government restrictions on rental rate increases through COVID, our commitment and dedication to our product quality, service, and experience, when paired with our exceptional value, has led to revenue and NOI growth. Boardwalk is well positioned to continue delivering on our track record, and believe there is an exceptional value opportunity at current unit price levels, while we also focus in on continuing to deliver growth. Slide 21 illustrates this value opportunity by pairing the implied value of our assets relative to recent transactions of other multifamily apartments on a per apartment door and on a cap rate basis. Reported cap rates on sales transactions often have varying assumptions, with some instances utilizing a stabilized NOI, such as Boardwalk has in our current calculation of fair value of our investment properties, and in other instances, reported cap rates have utilized an in place NOI. As a basis of comparison, this slide utilizes Boardwalk's consensus 2020 NOI to illustrate implied valuation. As noted, Boardwalk's net asset value of approximately $62 per trust unit or $180,000 per apartment door is in line with recent transactions. Boardwalk's current trust unit price presents an exceptional investment opportunity on both a cap rate and a per apartment door basis. In addition to the exceptional value our Trust units currently represent, Boardwalk is well positioned to continue to deliver organic growth, as restrictions on rental rate increases are lifted in all of our markets. As shown on Slide 22, Boardwalk's core Alberta markets of Edmonton and Calgary remain resilient with high occupancy, positioning us well to reduce incentives on both lease renewals and new rentals. Our Saskatchewan market continues to be competitive, and Boardwalk's focus on product quality, service, and experience has gained market share, with further opportunity to drive occupancy higher. Our Ontario and Quebec markets remain near full occupancy. Annual adjustment and AGI notices have recently been delivered, and Boardwalk continues to focus on maximizing market rents upon turnover. The $25 increase in our monthly average in-place rent equates to approximately $0.20 in FFO per unit, and represents a significant growth opportunity over the near and long term, as we focus on delivering quality, safe, and affordable housing across Canada. 
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session.  First question comes from Jonathan Kelcher at TD Securities. Please go ahead.
Jonathan Kelcher: Thanks. Good morning.
Sam Kolias: Good morning, Jonathan.
Jonathan Kelcher: First question, just on the margins. You had very good margins in the quarter. How much of that would you say is related to COVID? And how much do you think you can carry forward in a more normalized environment, at least on the operating side, the stuff you guys can control?
James Ha: Hey, Jonathan. I think our team is hyper-focused on continuing to reduce operating expenses. Our team's looking at it every single day. In Sam's slide, I believe it was Slide 6 or 7 with our operational highlights, you can see the staff count there. Our team continues to be focused on trying to reduce these expenses when and where we can without sacrificing service and experience. And so, carrying forward these operating costs, these controllable operating costs, we believe we can continue to do so. We believe we can continue to improve them further. That said, we do have a couple of uncontrollable expenses that we are anticipating increasing in the second half of the year, and those are in the form of property tax and insurance. We've talked about this before. Sadly, property tax in Alberta, specifically in the cities of Edmonton and Calgary, we are anticipating significant increases there. And so far to date, our rough run rate for property tax for the rest of this year is anticipated to be between $51 million and $52 million for the entire year.
Jonathan Kelcher: Okay. So that's somewhere around 13-ish for Q3 and Q4?
James Ha: You got it.
Jonathan Kelcher: Got it, okay. And then, one other little follow-up on that, the number of associates that actually went up a little bit this quarter, it's like 15.80, 15.90  based on the portfolio you have now, kind of a good number for that.
James Ha: It is. You know, as we look at the disposition that Lisa talked about for Apple towers, that's going to be offset by the acquisition of our building in Cambridge, Ontario. What's really exciting about our acquisition in Cambridge is you really provide some scale for our Kitchener portfolio where we currently have two assets. We believe we're going to be able to operate that building at an extremely high margin, providing that scale in that market that we're currently in.
Jonathan Kelcher: Okay. Second question just on the incentives in Q2, they did pick up for the first time in a while. I think, Sam, in your commentary, you said they were coming down right now. Can you may be give us a little bit of an outlook on what you expect for incentives over the next two or three quarters?
Sam Kolias: The incentives that we mentioned picking up a bit were as a result of increasing our occupancy, so our revenues on a net basis increased and now that the felt and regulatory freezes are lifted, we are seeing the incentives drop again and our target going forward will be 4% to 8%. It'll be a little bit less for the third quarter, because we continued on our freeze until August 1st. And the renewals that we are negotiating are for September, October and for the fourth quarter. We usually start to negotiate our renewals between three and four months ahead. And so, we will be seeing these reductions more in the fourth quarter.
Jonathan Kelcher: Okay, thanks all. I'll turn it back.
Operator: Thank you. The next question comes from Howard Leung at Veritas Investment Research. Please go ahead.
Howard Leung: Thanks. I just wanted to follow-up on that incentives question. You mentioned that the increases will be starting more in fourth quarter. What are your thoughts on some of these government programs ending around the same time? And do you think they'll make it harder to read when it comes to renegotiation?
Lisa Smandych: Howard, it’s Lisa. Basically, what we've found thus far is that our resident members certainly are committed to paying for their home, they've all appreciated the value that their home provides. So far, as you know, the government was quick to inject the cash and it seems without incurring announcements from the government, they really are now working on transitioning people from CERB to EI. So we are confident that people will still prioritize paying for their rents. Our product focuses on affordability of our apartments, which more people will be willing to pay. In addition to that, the wage subsidy that's being offered by the government, that continues through until the end of December. So that allows employers to pay wages. So we're being cautiously optimistic that our resident members will still prioritize paying their rent, given the affordability of our apartments.
Howard Leung: Right, that's helpful. And then, I guess the other question I had was on suite investments, just in common area improvements. It looks like just I wanted the  to know that it looks like they're on-track or even more than last year. And maybe just talk a bit about that and how that factors in with your increasing occupancies so far.
James Ha: Yes, thanks, Howard. As you know, our capital plan was budgeted for and created at the beginning of the year, certainly pre-COVID. And so, this gave us the opportunity to create the budgets which you see disclosed in our financial statements. Many of these projects started before COVID. I think a lot of the learnings that we've taken from 2016 and 2017, we’re able to do a lot more projects for a lot less money. Our focus with our common area renovation program really is today in our living and communities brands, where we're refreshing these lobbies, and as an example in Lisa slide, I believe it was slide 15 or 16, providing an example of that type of renovation where we're investing $50,000, $60,000, $70,000 to invest in these common areas, really improving them. And we're increasing our resident rents by $10 a month. You know, the net result of that is a payback for us in a matter of three, four or five years. And so, those are the type of renovations that we're really focused in on. The number of projects certainly is in line with, if not even a little bit higher than it was last year and certainly the year before. But that's because we are doing a lot more projects for a lot less money.
Howard Leung: Right, I guess you see the end of 2020 maybe completing even more suite renovations than 2019?
James Ha: Now, in terms of quantity, what you saw on that slide was pretty well in line with the projects that we have for the year. Again, we plan and start these projects at the beginning of the year and complete them throughout the year. So the count that you see there is both recently completed, as well as nearly completed for the remainder of the year.
Howard Leung: Okay, I see. All right, thanks for that. And then maybe one final one on Brio. It looks like the leasing being at 33%, did you have to put any incentives on top of the -- I know you said that rents were in line with performance, but wanted to make sure if you also put any incentives on top of that?
Lisa Russell: We've been using some incentives along with a huge marketing campaign. We have to really take our hats off to the team itself at site. There is some pocket incentives, but again, it's really in line with what the market is seeing right now. And we are very, very proud of the number of units that we have rented to-date. And, yes, overall it's in between that $2,25 and $2,75 rent. And that's exactly in line with where we thought we'd be.
Howard Leung: Right. And, do you have any forecast as to when you're going to get above maybe a 70%, 80% occupancy?
Lisa Russell: It could be over the next eight to 12 months. We're forecasting. But again, with these uncertain times, that's where we're triggered, eight to 12 months.
Howard Leung: Okay, thanks. That's helpful. I'll turn it back.
Operator: Thank you.  Your next question comes from Brandon Abrams from Canaccord Genuity. Please go ahead.
Brandon Abrams: Good morning, everyone. I'm just taking a look at the last release schedule. There looks to be a gap in Alberta portfolio, you're showing market rents about $137 higher than occupied rents or 11%. I'm just wondering how we should think about or reconcile that with the negative leasing spreads on new leases during the quarter in the Alberta portfolio?
James Ha: I believe it's slide 29, we provide two sections. So one section includes incentives and the other excludes incentives. Occupied rent is going to be reflective of incentives. And so, that's effectively where that delta comes from, Brandon. The opportunity for us, as Sam mentioned, is occupied rent decline slightly quarter-over-quarter, as we’re really focused in on gaining occupancy through COVID. As a result of that, and when combined with rental rates, restrictions, new leasing spreads were negative, as you pointed out, but we've more than offset that with occupancy gains, and as reflected by our performance so far this quarter. The good news heading into the second half of this year with rental rate and restrictions lifted, we are sitting with extremely high occupancy, and that's going to position us really well and our team to negotiate sustainable increases on both renewal and new lease spreads.
Brandon Abrams: Okay. I just thought if market rents were above occupied, that we think spreads should be a little bit higher. Maybe just based on your experience, obviously the borders are closed across the country and immigration was a key driver in the rental market for all multifamily RIETs and the whole rental market; what's your expectation heading into the fall leasing season without the influx of foreign students and the broader immigration coming into the country?
Sam Kolias: Thank you, Brandon. Just looking at slide 28, our actual data reflects similar rentals from out-of-town resident members, as we previously experienced. So we're very pleasantly surprised to see approximately the same number of out-of-town renters as we did before this situation. So we're still seeing a good amount of out-of-town renters. A lot of that is driven again by affordability. Folks moving back home from larger, more expensive cities and coming back to Alberta where there's affordability and support, makes a lot of sense and jobs are still here, with the service jobs. And minimum wage does pay for average two-bedroom rent in our portfolio. A couple, both on minimum wage, can afford on a dual income our average rents and so that's also very helpful.
Brandon Abrams: Okay. And then, just last question for me before I turn it over. Do you have a sense of how much of your tenant base would be on some of these temporary income support measures, such as the CERB? And then, second part to that, have you had to adjust your underwriting on new tenants to factor the job losses and more people being on CERB these days?
Lisa Smandych: Hi Brendan, overall, in terms of the existing tenant base that was only up for renewal, we don't know if they're on government supports or not. For what we've seen with new applicants, not very many are coming in on the CERB program. And more often than not, they're usually combined with another individual. So you'd have two individuals on the lease, of which one of them is still at a job and the other one may be on CERB. But very rarely it is just government support. And sorry, what was your second part of your question?
Brandon Abrams: Basically, if you had to change your underwriting for new lease prospects?
Lisa Smandych: So far no, we haven't seen that. We've just been doing same idea, going resident member by resident member, making sure that they can handle our affordability level, and we haven't seen a change thus far.
James Ha: I think that's the key word as well, Brendan, it’s affordability. I mean, our average rent, as Sam mentioned, minimum wage in Alberta, as everybody knows, is $15 an hour. And our average suite sizes are two-bedrooms, our average formation within our portfolio is closer to two people. And so, the affordability within our portfolio is so high. One of the great indicators of potential stress in the portfolio might be rent deferral requests. And Lisa, maybe we can provide some color on our rent deferrals?
Lisa Smandych: Yes, I said a little bit in my speaker notes, but at the end of July, we had roughly 100 participants in our deferral program with a balance of less than $100,000, as roughly about $85,000 at the end of July. So that's less than 0.2% of revenue.
Brandon Abrams: Right. Okay, that's very helpful. Thank you. I'll turn it over.
Operator: Thank you. The next question comes from Matt Kornack at National Bank Financial, please go ahead.
Matt Kornack: Hi, with regard to the seasonality that you typically see in this business; would you say that, given COVID, that's been thrown out the window from a leasing standpoint? And then, taking that a step further, your occupancy has held up quite well and it seems even in July fairly well. So, thoughts on occupancy versus rents over the duration of the year?
Sam Kolias: Matt, it's Sam. And going back to slide 28, the actual data shows there is an increase in turnover like we typically see. And turnover is down about 10% year-over-year. So our retention focus and our team's focus on retention is really a big part of the reduction of our turnover. And our service that we provide, the product quality and experience is absolutely a factor in our turnovers being reduced by approximately 10%. So the first quarter of this year, we did see a jump in turnover as per slide 28 versus the year before, and that essentially reversed in the second quarter.
Matt Kornack: And given that you're in non-rented or at least the Alberta portfolios on rent-controlled turnover, maybe you can comment as to whether you were pushing rents more on turnover than on renewals? And at this point in that market, you rather renew tenants because there's less CapEx associated, or would you want to get a new tenant into an apartment?
Sam Kolias: Our focus is clearly on retention. It's expensive whenever anybody moves out, and slide eight shows that we're being very, very generous and flexible with our renewals and that's another big plus. We observed during this situation is we've always been flexible. We've always self-regulated. And during this situation, that has really, really helped in our retention, because we just continued to do what we've always done, focusing on our resident members, and what's best for our residents, and being as flexible as we possibly can, and as understanding and it's really helped maintain our occupancy and increase it through this situation, which reflects we're doing the right thing.
James Ha: I would just add to that, Matt, I don't think they're mutually exclusive. I mean, if we look at where we've targeted leasing spreads in the past, it's been both, it's both new and renewals, and having that high occupancy allows us to do both. And Sam talked about our 48% that we're targeting, over the near-term, our economies are in the early stages of recovery. And we have to focus on sustainable adjustments. And so, for us over the next little while, it'll be likely the lower-end of that. And as we continue to hold higher occupancy, we can go back to what we've been really focused in on over the past 18 to 24 months, which is that 48% range.
Matt Kornack: And you have had the benefit or maybe the misfortune of having lived through tough times not too long ago, I think some of the Ontario names and then elsewhere this isn't a new thing, but what would you say you've learned and will do differently this time around than maybe post-2014, 2016?
Sam Kolias: A great question, we've learned so much over the last five years and providing homes in a very competitive market is much different than providing homes with no vacancy market. And so, what we've learned is we've constantly got to stay ahead and provide the best service and product quality experience in both real strong rental markets and real competitive rental markets. We've always got to stay true to our brand, our culture, our team, and provide the best service and product quality and experience regardless. And this actually helped us significantly in London, Ontario. Some of our competitors are introducing incentives in London, and we continue to rent without incentives and continue to have a very high occupancy. We've remained really, really diligent with respect to our service. We've increased our service levels and product quality and are renovating our common areas. And this is proving to be very helpful as it is in Montreal, as well. We are experiencing growth in the Montreal, Quebec markets as a result of our focus on service and product quality in those markets, even before the situation. That's really positioned us really well going into the situation and this allowed us to provide growth in those markets as well, while others are seeing higher availability and vacancy through this situation.
Matt Kornack: Great, thanks. Enjoy the rest of your summer.
Operator: Thank you. Your next question comes from Mario Saric at Scotiabank. Please go ahead.
Mario Saric: All right, thank you and good morning. I just wanted to come back to a comment by Sam in terms of the freeze on rent renewals. I guess I thought about  primarily in Ontario and Quebec. Can you clarify whether those portfolios will start to see rent increases on renewals on August 1? Or will it take three to four months from here to start seeing those come through on the income statement?
Sam Kolias: Hi, Mario. Great question. So we opted to not deliver notices through COVID. We're hyper-focused on again, health and safety of our residents. And so we've had a catch up of notices delivered recently. We anticipate our annual increases in our eastern provinces to begin in October.
Mario Saric: Got it. Okay, that's helpful. And then maybe coming back to the incentives on the Slide 8, which is really good disclosure, so thank you for that. I recall, last year, and this comes back, perhaps to Matt's question on seasonality as well. I recall last year during kind of the fall and winter seasonality, was the explanation for seeing some of those spreads come down month-over-month. So because of COVID, would you say that isn't relevant this year or should we think about spreads kind of feeling the impact as we go through the fall and winter like last year?
Sam Kolias: Mario, it's Sam. The incentives are correlated to occupancy levels. And that's why we're really tuned in to the high occupancy, and our team, again, we give all the credit to our amazing team and leaders for driving our occupancy higher. And now our focus is maintaining that high occupancy. And it's too early to tell what's going to happen in the second half. Right now, we are more keenly focused on occupancy and retention than we've ever been. Our technology, our dashboards, the data that we share, the financial literacy that our entire team is zoomed in is unprecedented. Everybody is aware of the daily rentals and daily move-outs and the financials are all graphics. And our entire team is tuned into this and that is a huge factor as to the reason our performance is as great as it, is because it truly is all about great people with great tools and technology. And this is really driving our results. Our Net Promoter scores as well, Mario, are exceptionally high and some of the feedback that we're getting from our residents is really citing the exceptional value that they're getting today at the rental rates that they're paying today. So, again, when combining that with high occupancy and having discussions between our teams with our residents, we do believe again, it's all about sustainable increases, and that's what we'll be targeting towards the second half of this year.
Mario Saric: Okay. And clearly, it's coming through in your occupancy as you highlighted, it's 80 basis points quarter over quarter. So when you do your market competition analysis, do you have any sense in terms of what the average competing product occupancy change would have been relative to that 80 basis points, how much market share are you stealing or is it just broader market occupancy increases?
Sam Kolias: We've been traveling extensively and visiting our sites throughout this whole situation and our competitors show apartments with a pretty long list of availability in all markets, that includes, we were just in Kitchener Waterloo area the other week and stopped into some of our competitors and there were quite a few units available and the list was quite extensive. And so the entire market is changing everywhere very quickly. And our focus and reengineering of our entire operations over the last four or five years is really proving to be a great advantage during this, what is being called great disruption. And, again, we just can't thank our team enough and the collaboration of our team. Our market surveys, we're just -- we're just firing on all cylinders like we've never before. And so it's definitely a big plus through this situation. It's, you know, it's a big test this situation we're in, and we're super, super happy. Our team has more than risen to the occasion our leaders have really delivered through a very, very difficult uncertain time. We can't thank everybody enough, Mario.
Mario Saric: Absolutely. It's definitely shown through the numbers. So congratulations on that. Is -- given these long lineups, is there -- in your high occupancy, is there a risk that despite your high occupancy, as vacancy levels are increasing at the competition, that their use of incentives is going to accelerate their, like, putting pressure on your ability to reduce yours?
Sam Kolias: We're seeing our competition rent, first of all, much higher than ours and the service levels are much different. Many of our competitors were unable to physically show us apartments over the last while and it was very difficult to even make an appointment. So our service levels are our technology or our connection with -- we got to give credit to our entire team again are focusing on leads and what we're doing, our innovation on lead to life and lead management is exceptional. We shop our competitors always. We are inspired by them and learn great things from our competitors and make it even better. And so it's all about continuing to adapt as Charles Darwin said adaption -- adapting is the key to, not only surviving, but emerging from a big change that we're going through. So we're adapting faster than we've ever adapted. And our rents are just so much lower. It's really the big advantage is our average rents are so low compared to our competitors, that -- and our product quality is so much better. Our service is so much better. We've got a great lead, we completely understand and are going to be dedicated to keeping that lead.
Mario Saric: Right. Okay. Just my last question, again, maybe go to Slide 5 of the presentation. Again, I appreciate the disclosure on this as well. Just wanted to clarify, it looks like the rent data that you're using here is Boardwalk rent data, assuming that the median household after-tax income is  or kind of greater population numbers as opposed to boardwalks portfolio. Any sense on how different, if at all, your rental income in your portfolio would be relative to these disclosed numbers?
Sam Kolias: Yes, I mean, that's a great point, Mario. I mean, sadly, our census data is quite irregular here in Canada. And so this data is from four or five years ago. And so it doesn't reflect any inflation in incomes over the past four or five years. But that said, that is the averages and so we provide affordable housing and so our average income levels are going to be on an average basis is going to be lower than this. All that said, again, just looking at Alberta when we talk about minimum wage here. Minimum wage of $15 an hour is $30,000 a year. And again, if you have two, that's $60,000. Right? Our average rent in Alberta are $1,200, $1,300, right? I mean, affordability is not an issue by any means. And in fact, I'd argue on a value basis. Boardwalk offers some of the best products in the marketplace today.
Mario Saric: Got it. And I guess given your new technological adoption, in terms of different ways to pay rent and going online and whatnot, have you seen any change or increase in credit card usage as a means to pay rent, or has that been pretty slow ?
Lisa Smandych: Hi, Mario, it's Lisa Smandych. Yes, we have certainly seen an increase. I don't know so much about, say, credit card, but in online payments, so they're either making -- so through our Yuhu platform, you have the ability to pay online via debit or credit, along with sort of the online bill functionality that's provided by all of the banks. So we have seen an increase in online payments. Not so much has it changed credit versus debit, that's sort of stayed consistent, but there certainly has been more online payments, as opposed to coming into our office and paying by check.
Sam Kolias: Again, I'd point to the -- to our deferral program. I mean, we are hyper-flexible with our residents, right? And so anybody who needs a little more flexibility in their rental payments, we're happy to do so without charging you 21% interest like a credit card might. And so, again, as Lisa pointed out, that number is negligible relative to our revenue at this point.
Mario Saric: Perfect. Okay, thank you.
Sam Kolias: Thanks, Mario.
Operator: Thank you. There are no -- your next question comes from Mike Markidis at Desjardins. Please, go ahead.
Mike Markidis: Hey, everyone. Just to follow-up on Mario's question there, when you note the deferral program participation, which is extremely low. Can you just describe how that gets rolled out? Is that something that you send out a notice to everyone or is it just in response to when someone hasn't paid their rent. Thank you.
Lisa Smandych: So you guys may recall that at the beginning of -- when COVID initiated in Q1, we set up a website called boardwalk -- or boardwalk info or boardwalk.net, which it included all the information on our deferral program. So all of our resident members, through Yuhu, would have been notified of that website, so it was accessible to every resident member, and those who were interested. There was an application process to get approved and resident members would have reached out to their managers, if needed, but yes, it was available to all resident members through that portal.
Sam Kolias: Thank you, Mike.
Operator: Thank you. There are no further questions at this time, you may proceed.
Sam Kolias: Thank you, Joanna. We'd like to end this call by thanking our amazing team of heroes, our great leaders, loyal residents and all our stakeholders. During our annual review of our results, Lisa Smandych, our CFO said it best when she observed, it really is all about our amazing team of heroes, whose huge shoulders we stand. And as leaders, we continue to do everything we can to support continued growth and excellence. We really can't thank our amazing team and great leaders enough. We are pleased with our improving results on a foundation of exceptional value we continue to provide our resident members, our investors and all our stakeholders. Our limit is our imagination. Thank you again, everyone, for joining us this morning, and God bless.
Operator: Ladies and gentlemen, this concludes our conference call for today. We thank you for participating and we ask that you please disconnect your lines at this time.